Operator: Good morning, ladies and gentlemen [Foreign Language] (00:15) 2017 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Global Communications and Investors Relations. Please go ahead, Mr. Gorber.
Lorne Gorber - CGI Group, Inc.: Thank you, Alanna, and good morning. With me to discuss CGI's second quarter fiscal 2017 results are George Schindler, our President and CEO; and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 AM Eastern Time on Wednesday, May 3, 2017. Supplemental slides as well as the press release we issued earlier this morning are available for download, along with our Q2 MD&A, financial statements and accompanying notes, all of which are being filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward looking. Actual events or results may differ materially from those expressed or implied, and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both our MD&A and press release, as well as on cgi.com. We encourage our investors to read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As before, we'll also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on the call are in Canadian dollars unless otherwise noted. I'll turn it over to François first to review our Q2 financials and then George will comment on our strategic and operational highlights. So, with that, François?
François Boulanger - CGI Group, Inc.: Thank you, Lorne, and good morning, everyone. I am pleased to share the results for the second quarter. Revenue was CAD 2.7 billion, representing constant currency growth of 5.6% year-over-year or 4.4% when excluding acquisitions we completed in the last 12 months. On a GAAP basis, including a currency headwind of CAD 179 million coming from all of our major currencies, Q2 revenue was essentially flat when compared with last year. IP-based services and solutions drove 22% of revenue, up from 21% last quarter. Bookings during the second quarter were CAD 2.7 billion for a book-to-bill of just over one. Of these awards, 29% were IP-related. Over the last 12 months, global bookings have amounted to CAD 11.5 billion for a book-to-bill of 108%. Adjusted EBIT increased to CAD 395 million despite the negative impact of currency. Our margin was protected due to our natural hedge, since most expenses and revenues are in the same currency. EBIT margin expanded by 30 basis points to 14.5% in Q2. Our effective tax rate in Q2 was 27%, within the 27% to 29% range expected for the full fiscal year. Important to note, any future policy measures to lower the U.S. corporate rate would represent a significant benefit to CGI since the U.S. is among our highest effective tax rate in addition to being our largest segment. On a GAAP basis, net earnings were CAD 274 million and EPS was CAD 0.90. In Q2, we successfully completed the integration of Collaborative Consulting incurring the remaining cost of CAD 1.3 million. Excluding these costs, net earnings for the quarter were CAD 275 million, up 2.6% from last year and net margin increased by 30 basis points to 10.1%. Earnings per share, excluding integration costs, were CAD 0.91 per diluted share, up 5.8% from CAD 0.86 last year. We continue to generate strong cash from operations, CAD 366 million in the second quarter or 13.4% of revenue. Over the last 12 months, we have generated CAD 1.5 billion or CAD 4.77 per share. We ended the quarter with a DSO of 42 days, better than our 45-day target. As a reminder, giving the annual cycle of IP subscription fees, Q2 tends to be the seasonal low period for DSO. We continue to use our cash in the most accretive way. In addition to investing back into our business through the continuous development of our experts and our IP, we also returned value to shareholders through an investment of CAD 286 million to repurchase 4.6 million shares and repaid CAD 40.5 million in long-term debt to finish Q2 with net debt of CAD 1.5 billion or CAD 433 million lower than last year. As a result, net debt-to-capitalization improved by 560 basis points to 18.2% from 23.8% in Q2 last year. With our revolving credit facility that remains fully accessible and CAD 282 million in cash, we have nearly CAD 1.8 billion in readily available liquidity and access to more as needed to pursue profitable growth. Finally, with respect to the announced U.S. acquisitions of CTS and ECS team last week, we paid approximately $90 million for $72 million in combined revenues. We expect to incur approximately CAD 8 million of restructuring charges in the second half of the year in order to complete the integration and achieve year-one accretion. Now, I'll turn the call over to George.
George D. Schindler - CGI Group, Inc.: Thank you, François, and good morning. In Q2, six of seven strategic business units delivered constant currency growth versus last year, resulting in global revenue growth of 5.6%. As highlighted by François, the majority of this growth is organic. I'm pleased with our team's disciplined execution of our Build and Buy strategy. We expect to remain on our plan driving profitable growth in the remaining half of the year. Last week's announcement regarding our two U.S. acquisition, which add additional high end consulting capabilities to both our U.S. and global operation, brings us to five acquisition within the last five quarters, all of which primarily serve clients in high-growth commercial industries. Both CTS and ECS are aligned with CGI model and culture. They bring to CGI local client relationships in a number of new and existing U.S. metro markets, in addition to domestic delivery capabilities in the Southern U.S. We warmly welcome these 450 highly skilled new members to CGI. Consistent with our M&A approach, these mergers will be earnings-accretive within 12 months. Now, let's review the Q2 operational highlights beginning in Europe. In France, revenue grew 15.5%, EBIT margin expanded to 15.7%, and bookings were 106% of revenue. Our teams continue to demonstrate the power of the CGI proximity model with 19 locations across all regions of France. Bookings in the quarter were in key growth industries; financial services, retail, and manufacturing, with new awards from long-term clients such as (08:18), Michelin, Airbus and Société Générale. In the UK, revenue grew 4.6%, EBIT margin was 7.4% impacted by a one-time cost associated with a delayed project. Going forward, we expect our UK operations to deliver double-digit margins on a normalized basis. And bookings in Q2 were affected by a continued slowdown in public sector procurement activity. However, our space, defense, and cybersecurity business continued experiencing strong demand as evidenced by a book-to-bill of over 200%. We see increasing demand for intelligent automation and RPA-as-a-Service in existing and new clients across all sectors, public and private. We recently initiated automation and robotics Proof of Value projects for clients in the banking, insurance, and healthcare industries. Across the Nordics, revenue was stable and continues improving as a result of investments made in previous quarters to evolve the mix of business to more transformational and digitally-focused mandates such as agile and DevOps. EBIT margin improved to 12.8%, up 220 basis points year-over-year, a positive reflection of this evolving mix of business. And bookings were 100% of revenue, driven by continued strength in the public sector and financial services. Swedish insurer Alecta, for example, recently chose CGI to modernize their IT environment, enabling them to leverage a hybrid cloud environment. In Eastern, Central and Southern Europe, revenue grew 2.6%, EBIT margin expanded to 10.7% and bookings were 103% of revenue. Belgium, Czech Republic and Poland are each delivering double-digit growth, and we continue seeing momentum in Germany as growth is now also approaching double-digit levels. In the Netherlands, we expect to see improving business results in the back part of the year, as we continue to adjust the services mix and invest in those areas most aligned to client demand. And in the Asia Pacific, revenue grew 12.4%, as we continue to experience strong demand for the benefits of our balanced global delivery model, including the skills and value delivered through our sourcing capabilities in India and the Philippines. And EBIT margin remained strong at 18%. Moving to North America, in Canada, revenue grew 5.9%. EBIT margin remained strong at 18.9% and bookings for the trailing 12 months are in excess of 135%, with nearly a third of the Q2 bookings linked to high-end consulting and IP. We continue to see double-digit growth across financial services and accelerating client spend in both the public and oil and gas sectors. In the U.S., revenue grew 4.1% with commercial and federal both showing positive growth. EBIT margin remained strong at 16.3%. Bookings were 117% of revenue, reflecting the strength of our value proposition including our IP offering and domestic delivery centers. For example, our strategic win with Aerojet Rocketdyne leverages both our commercial and federal expertise through digital transformation and cloud migration. CGI was chosen because of our innovative approach to managing the client's IT needs and due to our proximity within California, combined with global reach and scale of the company. We are encouraged by the current federal climate, which is showing signs of buying patterns that are more favorable to commercial best practices. We believe this shift will benefit us in the future as a diversified partner. Current growth in CGI Federal was driven by government-wide programs, including new cyber projects at the Department of Homeland Security and the continued success of our IP delivered through a shared services model. In summary, I am pleased with the performance in the quarter and progress made against our fiscal 2017 plan. For the first six months, revenue growth is 4.7% in constant currency. Net earnings are CAD 550 million and EPS is CAD 1.79, up 8.5%. And we generated CAD 716 million in cash from operations, up CAD 136 million. We begin the second half of the year in a position of strength, with 2,000 new hires and now two additional acquisitions that further strengthens CGI global capabilities across several in-demand digital transformation areas. Our end-to-end capabilities are well-aligned to meet the increasing demand we see from clients around the globe. On the Build side, our organic priorities are clear, accelerate growth by expanding our scope and reach within metro markets. On the Buy side of our strategy, we will remain an active consolidator, and our pipeline of qualified opportunities is full of high-end prospects with talented professionals aligned with our client-focused approach. We continue to have the financial flexibility and operational capability to continue acquiring a series of these high-quality firms, as we continue to evaluate transformational opportunities. I am confident in our team's ability to execute on this strategy and continue creating value for all of our stakeholders. Thank you for your continued interest and support. Let's go to the questions, now, Lorne.
Lorne Gorber - CGI Group, Inc.: Just a reminder, there will be a replay of the call available either via our website or by dialing 1-800-408-3053 and using the passcode 1713385 until June 3. As well, a podcast of the call is available for download within a few hours and follow-up questions, as usual, can be directed to me, 514-841-3355. Alanna, if we could poll for questions, please?
Operator: Certainly. Thank you. We will now take questions from the telephone lines. The first question is from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse - National Bank Financial, Inc.: Thank you. There's a lot of change going on right now in the industry and, obviously, you guys are positioning yourselves in that direction. But if you had to sort of point to the single biggest strategic priority for CGI over the next 12 months, what do you think that would be? Would it be a shift towards more IP, acquisitions, whatever it may be, but I'm kind of curious to see what your answer would be to that question?
George D. Schindler - CGI Group, Inc.: Yeah, thanks, Richard. You're right. There's a lot of change going on in the industry. I would say that our biggest strategic priority right now would be matching the capabilities we have – the full strength of the capabilities we have with the demand that we see in the marketplace. So, let me explain. We have the metro market strategy. We have the three levers of our growth around systems integration and consulting, the large outsourcing, and then the intellectual property. It's really about getting those global capabilities in front of our clients, urgently, to create the opportunity for us to bring value to them. So, it's really a matter of accelerating that message to our clients in the full offering. And that's what we really have been investing in over the last couple of years, so I think we're well positioned for that.
Richard Tse - National Bank Financial, Inc.: Okay. And then, with respect to acquisitions, I know you commented on it a little bit. Is the sort of – I guess, have the targets changed in any way? Certainly, by some of the acquisitions you've done this year. it seems that you're doing some smaller deals a bit more focused on disruptive tech digitization. Are you leaning towards that or are you sort of concurrently working with the former strategy of finding sort of local likes (17:20) to CGI or potential local likes (17:21) and getting leveraged through scale? I'm just kind of curious to see what the focus is on that.
George D. Schindler - CGI Group, Inc.: Yeah, it – yeah – no, that's a good question, but it plays into my first answer. It really is the acquisitions play into that strategy. The way we get the full offerings of CGI in front of our clients to meet that demand is through the proximity model. And so, the focus really is on buying like-minded – merging with like-minded companies like CTS and ECS that we just did, or like Collaborative and Alcyane (17:51) before that. Like-minded companies that have those relationships are providing high-end systems integration and consulting to our clients, but now we can bring the full depth and scale of CGI, including our IP, including our outsourcing capabilities. So that's really the – it plays into the same strategy for the company.
Richard Tse - National Bank Financial, Inc.: Okay. And just one last quick one here.
George D. Schindler - CGI Group, Inc.: Yeah.
Richard Tse - National Bank Financial, Inc.: With respect to the UK sort of one-off hit to the margins, can you give us a bit more color in terms of what that was related to?
George D. Schindler - CGI Group, Inc.: Yeah. It's related to a specific project, as I mentioned, and a delay. And as is our practice, we don't talk about individual clients or projects publicly, but it is related to a single project unrelated to the one-off positive last quarter.
Richard Tse - National Bank Financial, Inc.: Right. And by my math, had you not had that impact, the adjusted EBIT margin probably would have been about 15.3%. I don't know if François is on the line, but...
George D. Schindler - CGI Group, Inc.: Yeah, François is here.
François Boulanger - CGI Group, Inc.: For sure would be north of 15%.
Richard Tse - National Bank Financial, Inc.: Yeah. Okay. All right, great. Thank you.
Operator: Thank you. The next question is from Steven Li with Raymond James. Please go ahead.
Steven Li - Raymond James Ltd.: Thank you. George, a couple more questions on the UK, this snap election, is it having any impact on your bookings so far in Q3?
George D. Schindler - CGI Group, Inc.: Yeah. So, the – well, the snap election actually is a positive for the currency actually, but we're already seeing a delay in some of the public sector procurements. I don't see any change in that and it's really a delay in those larger deals. As we discussed on last quarter's call, we do see incumbency playing in, so we can renew deals, but the larger deals are pushing to the right. So, I don't see any immediate change to that given the recent snap election as you suggest. I just don't see that yet.
Steven Li - Raymond James Ltd.: Okay. And then, recently we learned Glasgow Council is pursuing a contract with CGI. They're having their own election tomorrow. Is there a precedence where election results could pause the scoping process underway?
George D. Schindler - CGI Group, Inc.: Here's why we designed the project the way we did is that we're really starting with a business case which is what was announced. And regardless of what happens in the election, that business case then would be owned by the new Council, whether it's the existing or new, and so that was done by design to make sure that there's a win-win for both parties. So, I actually think we designed that correctly.
Steven Li - Raymond James Ltd.: Okay, thanks. And then just a quick one for François, the strong cash flow this quarter and then your comment about DSOs that they're seasonal low. Does that mean this Q3 is likely the high point of the year for cash flow or is there a bit more room? Thanks.
François Boulanger - CGI Group, Inc.: That's why we're always putting the last 12 months, right? So, last 12 months at CAD 1.5 billion is really what we're trying to keep as much as possible. So, you'll always have some lumpiness between quarters. And again, this quarter is always the best one. So naturally, next quarter I'll have a little bit of pressure on the DSO side, but again that's just a part of the working cap, yeah? You have also the taxes and the AP on the other side.
Steven Li - Raymond James Ltd.: All right. Okay. Thank you.
Operator: Thank you. The next question is from Phillip Huang with Barclays. Please go ahead.
Phillip Huang - Barclays Capital Canada, Inc.: Hi, thanks. Good morning. Quick questions on Canada first. There was a temporary slowdown, lower work volume in the telecommunication and utilities market which I think impacted margins a bit this quarter. So, with bookings on trailing 12 months at above 136%, should we assume that utilization will pick up very soon and also margins normalizing?
George D. Schindler - CGI Group, Inc.: Yeah. So, we just see this as a temporary item. We're optimizing for the long-haul. We believe that the demand is strong. We see that evidence in the trailing 12 month bookings and so we're not changing our staffing mix. We actually are changing our staffing mix to reach that demand which caused a little bit of utilization in the quarter. But we believe that will come back to historic averages if not then some – given some of the growth that we see in the market.
Phillip Huang - Barclays Capital Canada, Inc.: That's very helpful. And then on the U.S. side, I guess similar question, lower work volumes in the U.S. state and local government market, you guys completed a successful large program, any visibility to renewal or new business to offset that?
George D. Schindler - CGI Group, Inc.: Yeah. So, actually, I mentioned or François mentioned the strong bookings that we had in IP, 29% of our bookings this quarter were in IP. A lot of that was driven in North America in government in – actually in state and local in the U.S. So, we see – we do see pick up there and it would be from those larger IP and managed services programs.
Phillip Huang - Barclays Capital Canada, Inc.: Great. And the final one for me, again on the M&A side, you guys – you obviously see significant opportunity, pretty expanded pipeline of opportunities that fit your business strategy. Do you see like any sizable ones that are pretty large or are they mainly sort of tuck-ins in terms of size? Thanks.
George D. Schindler - CGI Group, Inc.: But – I guess that becomes a relative term particularly as we continue to grow organically, but we do see them at various shapes and sizes. Some much larger than the three we just recently did, and including them the real transformational ones are still out there, but those require more evaluation. So, I would say we see them in all shapes and sizes.
Phillip Huang - Barclays Capital Canada, Inc.: Great. Thanks very much.
Lorne Gorber - CGI Group, Inc.: Thanks, Phil.
Operator: Thank you. The next question is from Thanos Moschopoulos from BMO Capital Markets. Please go ahead.
Thanos Moschopoulos - BMO Capital Markets (Canada): Hi, good morning. The improvements in the ECS in Nordics regions was quite notable relative to what we've seen in recent quarters. You alluded to some of the positives in those regions, but to be clear, as we look forward, should we consider that – the performance in this quarter is now a new baseline which you continue to build on or are there still some ongoing challenges which could cause some volatility in those results near term?
George D. Schindler - CGI Group, Inc.: Yeah. Well, in the longer term, yes, the evolution of the mix, we should continue to see margin expansion in the region. That's going to be from both the mix of the business, but also the revenue growth because we are flat this quarter, but as I've been discussing, some of the actions we're taking to meet the supply with the demand – increasing demand that we see in the Nordics. Particularly in Sweden, including in the public sector now, so we see those opportunities. However, there is still an evolution of the mix. So, on a go-forward basis, we see improvements, but new normalized, it's probably too early to say that right this minute.
Thanos Moschopoulos - BMO Capital Markets (Canada): Okay. And as we look out over the next few quarters, how should we think about the mix of SI&C revenue versus outsourcing? It seems that with the digital projects you have, the SI&C mix has creeped up a little. Will that continue to be the case for the next while or are there some large outsourcing opportunities which could skew it the other way?
George D. Schindler - CGI Group, Inc.: No, that's an excellent question. Maybe I'll just pause and say that we are seeing progress on each of our three strategic levers. So, the SI&C clearly is fueling the growth and we're seeing the bulk of the growth right now is in the SI&C space both organically and then through some of the acquisitions. But the opportunity once you have that SI&C business and that consultative relationship with our clients, it does drive up the pipeline significantly for outsourcing, and that's exactly what we're seeing. We're seeing pipeline growth on outsourcing. And then I'd add, the intellectual property plays across both of those levers. So that IP that we talk about that we ended the quarter with 22% of our revenue coming from IP, remember that's IP solutions and services. 50% of that IP is in managed services, which again is delivered in more of an outsourcing way and then it's still a 7-to-1 ratio with the other 35% of the seven being in systems integration and consulting. So, they drive each other. So, I would say the growth initially will be fueled by SI&C and then later, we'll add to that mix outsourcing and then of course the IP plays across both. So that's the evolution that we see.
Thanos Moschopoulos - BMO Capital Markets (Canada): And then finally, the margin in France, that was a nice uptick. Anything anomalous there or is that just what happens when you have a high-end consulting business that's humming?
George D. Schindler - CGI Group, Inc.: High-end consulting business is the biggest driver. I would mention that there was due to Easter between last – the way Easter fell last quarter and fell this quarter in a primarily SI&C business, that does have an impact because they had a couple of extra working days and high margin extra working days. So that had a little bit of a benefit, but the bulk of that is driven by those strong organic growth numbers that you see.
Thanos Moschopoulos - BMO Capital Markets (Canada): Thanks, George. I'll pass the line.
George D. Schindler - CGI Group, Inc.: Yeah.
Lorne Gorber - CGI Group, Inc.: Thanks, Thanos.
Operator: Thank you. The next question is from Maher Yaghi with Desjardins Capital. Please go ahead.
Maher Yaghi - Desjardins Securities, Inc.: Yes, thank you for taking my question. So, continued growth and acceleration of – on the revenue side, 5.6%, and from my calculation, about 4.3% organic constant currency growth. How do you see revenue growth continuing going forward, going from minus 1% last year to plus 5%? Should we expect organic growth to continue to accelerate or because when you look at the companies in the space, you're starting to get close to the good ones there, so can you still see acceleration? And the second question is more long term, when you look at margins, you're back now to margins pre-Logica acquisitions. Longer term, where do you see margins – what's your aspirational goal in terms of margin for the business in total?
George D. Schindler - CGI Group, Inc.: Yeah. Those are two good questions. On the growth side, I would say that we don't want to just be good, we want to be the best. But really, when we look at the growth, we see the demand is absolutely still there and I would say the demand, if anything, is accelerating. That's what we see in our most recent – or the early returns from our most recent discussions on the – on our client – client survey, Voice of the Client (sic) [Voice of Our Clients], that actually the demand continues to increase. As I mentioned, through our hiring and our acquisitions, our capabilities continue to increase with that demand. So, it's really about making sure that we are using the proximity model to bring that full offering for our existing and new clients. So, the goal certainly is to sustain that growth, if not continue to accelerate that growth. With that growth, obviously, it becomes earnings growth, but also as we get that growth and get the mix that I was talking about in the earlier question, that's where we will see continued expansion of margin. And I'll just say that the best mix of business and the model mix of the business is what we have in Canada. You see the margins there, so that certainly would be what we'd be looking to do.
Maher Yaghi - Desjardins Securities, Inc.: Thank you, George.
Lorne Gorber - CGI Group, Inc.: Thanks, Maher.
Operator: Thank you. The next question is from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan - TD Securities, Inc.: Hi, good morning, guys.
George D. Schindler - CGI Group, Inc.: Good morning.
François Boulanger - CGI Group, Inc.: Good morning.
Daniel Chan - TD Securities, Inc.: One of your offshore competitors recently mentioned that it was going to significantly build out its presence in the U.S. So, I've got two questions related to this. One, are you starting to see opportunities open up as a result of some of the challenges your offshore competitors may be facing? And two, as they build up their onshore presence in the U.S., how do you view that impacting your strategy over the long run?
George D. Schindler - CGI Group, Inc.: Yeah. So, on the first answer, I think from a competitive perspective, the landscape has changed and that certainly has been, I think, an opportunity and tailwind for us given some of the challenges, because there is investments that are required to do that change. As you know, we've built out that global delivery model not just offshore, but near-shore and onshore over the last 10 years plus, and so we're pretty mature in that. I think that continues to be a tailwind for us. Given the fact that they were always competitors with a model that was offshore and now it's like a competition in the near-shore, I don't see that changing long term, but near term it's certainly a headwind for them given the investments they would need to make.
Daniel Chan - TD Securities, Inc.: Great, thank you.
Lorne Gorber - CGI Group, Inc.: Thanks, Dan.
Operator: Thank you. The next question is from Paul Steep with Scotia Capital. Please go ahead.
Paul Steep - Scotia Capital, Inc.: Great. On the IP side, George, could you talk a little bit just about the core investments and maybe the fastest growing areas of the business? I know we looked last year, for example, at smart metering and a number of other solutions.
George D. Schindler - CGI Group, Inc.: Yeah.
Paul Steep - Scotia Capital, Inc.: Could you talk first a little bit about that? And then, I've got a quick follow-up.
George D. Schindler - CGI Group, Inc.: Okay. So, on the intellectual property, right now, we see still the growth is – North America is leading the way with our core financial services and government IP. And so, we just continue to see strength there, and I mentioned that in state and local, specifically. But we do see a growing pipeline in cross-continent. And one example of that, which you just mentioned, which would be utilities, we see some of the work we've done in European utilities, particularly in the smart meter management, having an opportunity to bring that into the North American markets. Likewise, we are seeing increased pipelines in bringing some of our financial services product offerings and IP offerings to the European market, even most recently in the Nordics. So that cross-continent pipeline, it does take some time, but it is increasing. So that's where we see the opportunities. Now in the investment side, we are investing into the growth with some – actually some new offerings in manufacturing and in retail through some of our strength in Europe.
Paul Steep - Scotia Capital, Inc.: Great. Okay. The follow-up was on the head count. So, year-on-year, it looks like you're up about 8% and my fast math here says 90% of that actually looks like it was in organic pipeline. So, could you maybe talk just a little bit about where you've added most of that head count and what you think the trend looks like maybe over the next 12 months, because at least to my memory, that seems like a faster pacing of new adds on a net basis than maybe in the past? Thanks.
George D. Schindler - CGI Group, Inc.: Yeah. Well, obviously, the head count in a services business, with the revenue growth gets – comes some of the head count growth, and we haven't been in that mode. It will not outpace our revenue growth because, obviously, we have the IP in the mix, and so that doesn't require the same ratio of members. But I would say, I'm just looking at the numbers across the regions, every region grew this quarter with the exception of the UK. And given the breadth of the demand that we see out there and our urgency to meet that demand for on – and behalf of our clients, I think you'd expect to see that growth continue in every one of our major regions, including in India. Even given some of the headwinds you might see out there, given our global delivery model, it's a global delivery solution that we offer, and so we see growth in every region.
Paul Steep - Scotia Capital, Inc.: I should have added, by skill set, do you have sort of a sense of how much you've started to shift the skill set there? That was helpful on a regional basis. Thank you.
George D. Schindler - CGI Group, Inc.: Yeah. Yeah. Okay. So – yeah, so on the skill set side, it would be both in industry domain expertise, as well as the newer technology expertise as we see some of the changes in the marketplace. So, definitely a shift from maybe some of what we had seen historically around infrastructure management, a lot of which is being automated and now it's really about newer methodologies, newer toolsets, as well as the domain expertise becomes even more critical as technology moves from just being an enabler to a driver of the business, you've got to understand the business and that's within proximity.
Paul Steep - Scotia Capital, Inc.: Perfect. Thanks, guys.
Lorne Gorber - CGI Group, Inc.: Thanks, Paul.
Operator: Thank you. The next question is from Stephanie Price with CIBC. Please go ahead.
Stephanie Price - CIBC World Markets, Inc.: Good morning.
George D. Schindler - CGI Group, Inc.: Good morning, Stephanie.
Stephanie Price - CIBC World Markets, Inc.: George, in your prepared comments, it sounded like the U.S. federal environment may be improving. Can you give us a bit of an update on the U.S. spending environment there?
George D. Schindler - CGI Group, Inc.: Yeah. Yeah. So, it's a shifting environment. As you know that they – looks like there is a deal at least for the rest of the fiscal year on a budget. The positive part about that is it's not just the continuing resolution. There's actually some plus-ups in that budget that allow some new starts, and so that's a positive sign. As the new administration comes in, they're looking at driving IT modernization for value, which is different than just keep the lights on, so that's a positive particularly when you look at some of the business models that we can offer in that environment, so that's kind of the immediate short-term environment. In the longer term, if the administration is to make some of the changes that they need to make, again, it's going to require some different business models that might play more to a diversified partner's strength than a federal pure-play strength. So that's kind of where I mentioned that on the remarks. So, short term, yeah, we see some opportunities. And this is where our proximity model really plays in. I just spent some time with our U.S. President and at our board meeting in federal and we're really sitting with our clients and helping them prepare for what is still a shifting environment and give them options of how they might play into that. That positions us well even in a federal procurement environment because we kind of see where the demand might be coming from and we can provide early consulting help to our clients in how they might procure those systems.
Stephanie Price - CIBC World Markets, Inc.: Great, thanks. And then in terms of the IP, can you give us some idea of the margins in that IP business and how we can kind of think about margin expansion as that percentage of IP continues to grow?
George D. Schindler - CGI Group, Inc.: Yeah, I'll just say it's higher, and then maybe, François, you can give some...
François Boulanger - CGI Group, Inc.: No, for sure, that's the – the margin is higher on the IP side, so by improving the mix, the improvement on the margin, on the EBIT side will be faster than the revenue growth. So that's the idea of the plan and why we want to grow IP.
Stephanie Price - CIBC World Markets, Inc.: Okay, thanks. And then just finally on the tuck-in strategy, can you talk a little bit about the number of opportunities you see there and the valuation on these tuck-ins?
George D. Schindler - CGI Group, Inc.: Yeah. So, when we look at our model, obviously, it's a disciplined model. We want to see the accretion. We need to see the accretion to reach our hurdle rate in year one. And some of these tuck-ins and the higher-end quality companies like the two that we just announced, that's not hard to see because if they fit right into the model, they have the relationships, we can take their high-end systems integration and consulting and relationship and knowledge that they have their existing clients and then add some of the global capabilities, whether it's outsourcing or IP. So that allows us to model in not just the bottom line accretion, but also some of the top line accretion as well, which allows us to be more active. And so, we do have an active pipeline in every single one of our strategic business units as we speak.
Stephanie Price - CIBC World Markets, Inc.: Great. Thank you very much.
Lorne Gorber - CGI Group, Inc.: Thanks, Stephanie.
Operator: Thank you. The next question is from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young - Canaccord Genuity Corp.: Hey, good morning. Just a couple of questions, a follow-on to last question. As you're adding some of these higher-end consulting resources, I mean, through acquisition of these tuck-ins through more focus on hiring, what's retention like? Once they get into the CGI model, once they get a sense of the CGI culture, how easy is it to retain these high-end guys that are driving some of this follow-on?
George D. Schindler - CGI Group, Inc.: No, it's a great question, because as a people business, obviously, that's (41:22) to us. It's why we look at companies that have a similar culture coming into the mix with a heavy client orientation and skill set. So that's – so there's kind of a natural fit there. Part of our model is to – is really to run these within proximities and because we're tucking in proximity-based businesses, it provides them immediate leadership opportunities in the CGI model. And then finally, I think everybody likes to be part of a winning team, and we have a winning team here and certainly, these individuals add to that. So, I think it's a combination of those things. It does obviously change. It's hard on anybody, so there's always some turnover. Some turnover is healthy in a professional services business, but certainly very quickly we bring it in line with CGI's healthy targets there.
Robert Young - Canaccord Genuity Corp.: Okay. And then, on the tuck-ins like you've said a few times, quite a number of tuck-ins recently. Can you talk about the capacity in your M&A team? Do some of the delays on – or the longer time in some of the transformative options or opportunities, are these being delayed by capacity in your biz-dev team? And are there any delineation between integration efforts and the grooming of targets?
George D. Schindler - CGI Group, Inc.: Yeah. Not at all. What we've done and I think we've talked about this on an earlier call, it did move M&A under François. And, François, maybe he can talk about the team that he built up. But I would just also add to that, the beauty of the proximity model and the geographic-based businesses that we have and now we're attacking here is that the operations does all the due diligence, and now actually the operations is very involved in the identification of these potential mergers and actually in concert with our clients. And so – so that – those two elements don't detract at all from François and his team to continue to look at the bigger transformational that crossed those geographic lines, it also allows us to do these integrations like the two we just talked about in the U.S. pretty autonomously. So, François...
François Boulanger - CGI Group, Inc.: No. You well summarized that, George. Really the operation are responsible for the due diligence, but also for the integration. So once the deal is done and signed, the M&A team can concentrate on the next one. So – and, again, we still have the aspiration to double the size of the company. Half of it will come from the Build side and the Buy side. And so naturally it's not just tuck-in to be capable to do it, but also the large one. So, we're always on the market to look at it.
Robert Young - Canaccord Genuity Corp.: Okay. And little quick one, you said lower level of CapEx was related to decline in data center investment. How should we think about that going forward? And then I'll pass the line.
François Boulanger - CGI Group, Inc.: Well, for sure, it's our strategy to go more and more on asset-light. So, for sure, it's less pressure on the CapEx side, but it's also giving us a capability to invest elsewhere and more on the IP side. So that's really the advantage of this is to put back the investment in more the IP where we have more growth, and that will increase also the profitability.
Robert Young - Canaccord Genuity Corp.: Should we expect the PP&E to be around this level going forward or would it bounce back up a bit?
François Boulanger - CGI Group, Inc.: No. I think it can bounce a little bit up, but I would say that's mostly what we would expect in the future. Don't forget also that some of the PP&E also can be related to outsourcing contract. And last year, we signed a lot of outsourcing contract that did ask for some investment. So...
Robert Young - Canaccord Genuity Corp.: Okay. Great. Thanks a lot.
George D. Schindler - CGI Group, Inc.: Yeah.
Operator: Thank you. The next question is from Anj Singh with Credit Suisse. Please go ahead.
Unknown Speaker: Good morning. This is Nick Veron (45:49) on for Anj. Thank you for taking my questions. The capabilities that you talk about with the CTS and ECS acquisitions, how do they augment your solutions and kind of any thoughts on a pipeline of commercial-oriented M&A in the U.S. post these transactions?
George D. Schindler - CGI Group, Inc.: Yeah. So, for both CTS and ECS, as I mentioned, it's the higher-end consulting and systems integration, really working with the business and IT to provide the solutions. So, let me give you some examples. So, for example, in CTS, they're rolling out business intelligence for a banking partner to help them measure the performance of the bankers. For utilities, they're implementing mobile tools to ensure regulatory or facilitate regulatory compliance. In health, they're doing quality assurance. Now, why are those things important? Because those are directly working with both the business and IT to enable the business. And by enabling the business, then we have a set of discussions where we can bring in the larger capabilities we have, for example, in banking or in utilities with our intellectual property, and in health. So, we have a IP in each of those. And then, enter into more transformational outsourcing discussions. So that's how the two interplay. In addition, those skill sets are in demand by other legacy CGI customers. And so, they can bring some of those solutions that they're doing on a bespoke basis for an existing customer of theirs and bring some of that knowledge and capability to an existing customer of CGI. So those are the ways we leverage those skill sets and the relationships to grow the business. ECS, similar type situation. Just a different region where they're doing IT modernization to support business model transformation in banking, in transportation retail, and in consumer services; so, very similar type skill sets just different region of the country and the biggest market (48:15). And I guess on your second question, yes, just because we did these two, given the organization we have and the size of that market, we want to continue to be active in the U.S. commercial space.
Unknown Speaker: Okay, great. That's helpful. And then, just one more follow-up. Can you talk about the sort of process on scaling the U.S. business towards further organic growth? I know you've previously mentioned how the Collaborative Consulting acquisition has contributed to this, but how can you leverage the IP to bolster your position in the U.S. as well as in other geographies?
George D. Schindler - CGI Group, Inc.: Yes. I do believe that it's a combination of all three of our levers, right? So, it's the consulting and system integration that we're bringing on board with the latest three, including Collaborative in the U.S., and those relationships is exactly what allows us, then, to bring in that intellectual property in large outsourcing. So, I can see that continuing to help us in growth in the U.S.
Unknown Speaker: Okay, great. Thank you.
Lorne Gorber - CGI Group, Inc.: Thanks, Nick (49:26).
Operator: Thank you. The next question is from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber - RBC Dominion Securities, Inc.: Thanks very much, and good morning. Throughout this conference call, I mean, you've commented a number of times that you're seeing stronger customer demand across a number of markets. Your tone seems more positive than it has been for the last several quarters, several years. What's changed in your view in regarding the market or maybe the company's position within it to drive the stronger growth?
George D. Schindler - CGI Group, Inc.: Well, I think it is the shift that we see that – I think the first question was about the shift in the IT ability to transform the business, and really where that shift is driven from is the end customer. In order to meet the demands of that end customer and truly put them at the center of your business, and we've seen some maybe fantastical situations where that wasn't the case for some businesses, technology becomes a big driver of that because the interface with end customers in virtually any of these industries, virtually every industry, including government with citizens, the interface – primary interface or, oftentimes, exclusive interface is with the technology. So, you've got to get your technology right. So, that's why we continue to see accelerating IT budgets with the returns that come with putting the customer at the center of your business. So, it's a business case driven by the business, and that allows us to be far more opportunity for growth than when it's just about cutting costs.
Paul Treiber - RBC Dominion Securities, Inc.: Thank you. I've also noticed, in your materials, you've begun to emphasize high-end consulting as opposed to referring to it more generically as systems integration and consulting. Why are you distinguishing between the two, and then how much of your business – the SI&C business would you characterize as high-end consulting?
George D. Schindler - CGI Group, Inc.: Yeah, so that's an excellent observation. Given that shift that I just described, the technology, when it's being employed to bring that business value and the customer at the heart of the equation, it does require more industry expertise. It requires more change management expertise. It requires more partnering between business and IT, which is why you see some of that shift to the consulting, not just the systems integration. So, we will continue to see more of that in the future. I don't have the breakout in front of me, because we do break it out by SI&C, and I'm looking at François, but you will – I think that is a shift that you'll see more of in the future.
Lorne Gorber - CGI Group, Inc.: I'll come back to you, Paul, on that one.
George D. Schindler - CGI Group, Inc.: Yeah.
Paul Treiber - RBC Dominion Securities, Inc.: Thank you, I'll pass the line now.
Lorne Gorber - CGI Group, Inc.: Thank you.
Operator: Thank you. The next question is from Ed Caso with Wells Fargo. Please go ahead.
Edward S. Caso - Wells Fargo Securities LLC: Hi, good morning. Congratulations on the quarter.
François Boulanger - CGI Group, Inc.: Thanks.
Edward S. Caso - Wells Fargo Securities LLC: I'm trying to get a sense for how much of your business you would consider legacy and, therefore, under some form of price pressure. And then – and conversely, how much of it is on the more positive side, and are you seeing price improvement on that side? Thanks.
George D. Schindler - CGI Group, Inc.: Yeah. No, that's a good question, Ed. A lot of our opportunities we see them combining a bit, so we can drive savings through that – through the rationalization of the legacy in helping them modernize that IT to take advantage of some of the opportunities and shifts in the marketplace, particularly cloud. At the same time, taking those savings and reinvesting that to do some of the digital transformation. So absolutely, the growth is from the digital transformation. But we look at the two really combining a bit, and we think that's what drives some of our differentiator in the marketplace, that we do understand the legacy and, therefore, how to more rapidly transform that. So, we see opportunities for not just growth, but even some margin expansion by leveraging some of the tools on both sides of that equation. I don't have the breakout. I don't know, François, if you have that, but we can...
Lorne Gorber - CGI Group, Inc.: We can come back to you.
George D. Schindler - CGI Group, Inc.: But certainly, the growth is being driven by the new.
François Boulanger - CGI Group, Inc.: Yeah.
Edward S. Caso - Wells Fargo Securities LLC: So, my sense here, though, is in this digital transformation, you've got the business side and the IT side, and historically the legacy is focused on the IT side. So, do you have enough front-end front-of the-house capacity to go after the business side of the decision makers or is that still a work in process?
George D. Schindler - CGI Group, Inc.: Well, I would say, it has been a work in progress and, therefore, that's why you're seeing some of the growth, because we're now realizing some of the progress that was based on that; and then, accelerating that through some of these acquisitions, obviously, is the point. But you're absolutely right. But I would say, Ed, it is interesting. As we look at deals, if a deal is driven by IT legacy – as you correctly state, pricing is part of that, but it's a bigger deal – when it's driven solely by the business, the margins are higher, but it's a smaller deal. It's – when it's combined, business and IT, it's a big and value-driven deal for both parties, client and CGI. So that's certainly why that outsourcing offering is so – transformational outsourcing offering is so important to us.
Edward S. Caso - Wells Fargo Securities LLC: Great. Thank you.
George D. Schindler - CGI Group, Inc.: Yeah.
Lorne Gorber - CGI Group, Inc.: Thanks, Ed. Alanna, I think we have time for one last question.
Operator: Certainly. Thank you. The last question will be from Eyal Ofir with Eight Capital. Please go ahead.
Eyal Ofir - Eight Capital: Perfect. Thanks. Thanks for taking my question, guys. I have actually two questions. Number one, looking at the M&A front, you guys discussed quite a lot about doing small tuck-ins and potentially some transformational. But on the small tuck-ins, you're focused primarily in the U.S. high-end consulting. Should we anticipate similar types of acquisitions in Europe as well or are you going to have capacity with these acquisitions to bring that expertise over into Europe?
George D. Schindler - CGI Group, Inc.: You should expect them in every region we operate in. And we do have a pipeline and it's probably most mature in the U.S., but you're going to see that in every one of the regions. François?
François Boulanger - CGI Group, Inc.: No, I agree. For sure, we are trying to concentrate a little bit more in the UK and Germany, but we'll have a pipeline in most of the geography that we're in.
Eyal Ofir - Eight Capital: Okay. And then from a transformational front, should we anticipate that to be more of a European-centric type of transaction just because of the pricing in North America?
George D. Schindler - CGI Group, Inc.: Well, the transformational is – typically will expand geographies and so I don't think there's necessarily a pure-play in either side any more. But – so you'll see we're looking at all of them and there aren't – we know what they are.
François Boulanger - CGI Group, Inc.: Yeah.
Eyal Ofir - Eight Capital: Okay. Thanks. And just on the government side, two regions, number one, I mean, in the U.S., have you guys seen any like within the RFP's for federal contracts, have you seen any request for localization and local employment at this point in time based on the new administration?
George D. Schindler - CGI Group, Inc.: Yeah. We actually see that on both the – on the government side, but even on the commercial side. It's more of a preference, not a requirement, but that plays into – exactly into our model and so we believe we're well-positioned for that.
Eyal Ofir - Eight Capital: Okay, great. And then finally just on the federal now in Europe. In France, they have a new election. You talk about the UK perhaps, but have you seen any like short-term impact in France at this point?
George D. Schindler - CGI Group, Inc.: No short-term impact at all, but long term, it could be favorable, but we'll have to see.
Eyal Ofir - Eight Capital: Okay. Okay, thank you very much. I'll pass it along.
François Boulanger - CGI Group, Inc.: Yeah.
Lorne Gorber - CGI Group, Inc.: Thank you. Thank you, everyone, for joining us. We'll see you back here in July for the third quarter results.
George D. Schindler - CGI Group, Inc.: Thank you.
François Boulanger - CGI Group, Inc.: Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.